Operator: Good morning and welcome to Vistra's Investor Webcast discussing First Quarter 2022 Results. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Meagan Horn, Vice President of Investor Relations. Please go ahead.
Meagan Horn: Thank you and good morning. Welcome to Vistra's investor webcast discussing first quarter 2022 results which is being broadcast live from the Investor Relations section of our website at www.vistracorp.com. Also available on our website are copies of today's investor presentation, our Form 10-Q and the related press release. Joining me for today's call are Curt Morgan, our Chief Executive Officer; and Jim Burke, our President and Chief Financial Officer. We have a few additional senior executives present to address questions during the second part of today's call as necessary. Before we begin our presentation, I encourage all listeners to review the safe harbor statements included on Slide 2 in the investor presentation on our website that explain the risks of forward-looking statements, the limitations of certain industry and market data included in the presentation and the use of non-GAAP financial measures. Today's discussion will contain forward-looking statements which are based on assumptions we believe to be reasonable only as of today's date. Such forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially from those projected or implied. We assume no obligation to update our forward-looking statements. Further, today's press release, slide presentation and discussions on this call will include certain non-GAAP financial measures. For such measures, reconciliations to the most directly comparable GAAP measures are provided in the press release and in the appendix to the investor presentation. I will now turn the call over to Curt Morgan to kick off our discussion.
Curt Morgan: Thank you, Meagan. Good morning to everyone and thank you for your continued interest in Vistra. Getting started with Slide 5. I've mentioned before that 2022 is a year of executing on the strategic priorities we outlined in the third quarter of 2021, shown on this slide. Importantly, Vistra has started on the right foot in 2022 with Q1 results consistent with our expectations and it is noteworthy that our confidence regarding 2022 has grown. However, to me, the bigger story is the material movement in energy commodities complex forward curves for '23 and beyond. And our emphasis on a comprehensive hedge strategy, capitalizing on this move that began last year, continued in the first quarter and continues today. Notably, we expect this upward trend to continue given how the U.S. and world energy situation is set up, especially regarding ESG and boardroom actions in response, combined with strong demand and geopolitical events. In a nutshell, the U.S. natural gas complex is already tight and likely to be increasingly tied to world gas economics. As an expanding pivotal supplier on the world stage, we expect U.S. supply and demand to tighten even further. Higher natural gas prices in turn lead to higher power prices and Vistra is long power and natural gas equivalents. Frankly, in my 40 years, I have not seen a confluence of events quite like this. Certainly, Vistra is in the right position to capitalize on the strong forward curves. The effectiveness of our execution will be key as the day-to-day volatility is extraordinary. It is a rare opportunity presented to us and it is our job to create the most value out of it while managing the risk. Our prudent hedging strategy has resulted in Vistra locking in material out-year value in the '23 to '25 timeframe. And it is worth noting that the forwards have also risen materially out to 2030. The market clearly believes there has been a fundamental shift in the energy commodity complex and it started before the aggression against Ukraine. This shift, as reflected in the forwards, offers continued opportunities to hedge more while remaining mindful of the potential liquidity requirements against further commodity price moves. The good news is that this offers right-way risk with our open position as well as the significant value already hedged. We also have tandem hedged, other risks associated with our commodity hedge positions, such as fuel and basis differentials. Our generation fleet has also performed exceptionally well at an average commercial availability in the mid-90s percent as a critical component of our hedging strategies. We bolstered this exceptional historical performance by the additional expenditures after Uri to derisk our ERCOT plant operations and as we have mentioned in the past, we hold back generation to cover forced outages, all to manage any risk exposure that hedges can expose us to. Our primary focus when hedging is on managing risk while capturing value. We are not focused on picking the absolute peak. Our experience is that this futile endeavor leads to a significant risk of missing the opportunity entirely. As it relates to 2022, while we were considerably hedged coming into the year, our open position in the summer months could now benefit from the power price environment which we expect to remain intact given the likely continued strength of natural gas prices, as I just discussed. This is our expectation even without an extreme weather event. In addition, our retail business continues to deliver strong margins while organically growing customer counts as customers in ERCOT value quality retail names like TXU Energy and Ambit. Jim will speak to the significant value capture opportunity in more detail momentarily. But in sum, the EBITDA outlook for Vistra through 2025 has now increased to potentially over $1 billion even with prudently conservative estimates and the market has only continued to move up. As briefly mentioned a moment ago, a robust hedging strategy, of course, requires significant liquidity as collateral postings are required. Notably, our commitment to a strong balance sheet with significant liquidity has positioned us with the cash and access to capital necessary to make the collateral postings while continuing to execute solidly on our $2 billion share repurchase program and pay out significant dividends to our shareholders of record. Of course, in this environment, you can never have enough liquidity. As such, we continually look for ways to efficiently manage our liquidity and are working diligently to enhance access to capital so we can further take advantage of the long-dated move up and forward and capture value for our shareholders. We believe these efforts will be successful given the significant strength of our business and the amount of forward value we can lock in. Finally, we remain committed to sensibly progressing our fleet of zero carbon generation. As of today's call, we have completed construction of our Brightside and Emerald Grove solar facilities and our DeCordova battery energy storage facility in ERCOT. Additionally, we've been working around the clock to install replacement connectors in the water-based heat suppression safety systems at Moss 300 and Moss Landing 100 and expect to begin bringing those megawatts back online ahead of the hot California summer months. Despite the challenges, the supply chain issues or the uncertainties around solar panel procurement that the Department of Commerce's anti-circumvention investigation are causing the industry, we find ourselves well positioned to navigate these particular headwinds and as we continue to advance the growth of our Vistra Zero portfolio. Our planned 2022 development projects are constructed and we've already procured panels for several of our next-in-line solar projects. Further, our remaining projects have a timeline that allows us to opportunistically contract at the right time. It is important to note that we will remain disciplined in our development efforts, especially given that we either have procured the equipment or have flexibility to time our projects with availability and pricing of equipment. It is also important to note that the supply chain bottlenecks and government actions are dampening the build-out of renewables in the U.S., placing more emphasis on the existing fleet of assets, especially natural gas fueled and nuclear power plants. As we have said many times before, natural gas fueled power plants are going to be critical to a rational and just transition to a decarbonized electric system. Moving now to Slide 6. In the first quarter, we achieved $547 million of adjusted EBITDA from ongoing operations in line with our expectations. Notably, this year, our first quarter results are a smaller contribution to our overall annual earnings as compared to certain prior year first quarters. But this new earnings shape was expected for 2022 and is correlated to the seasonality of our retail business in the ERCOT market during the winter months with higher cost of goods sold locked in to hedge retail sales. However, there is greater margin opportunity expected in the remaining months in both our retail and wholesale businesses. With that said, the Retail segment performed above expectations in Q1 in ERCOT with notable organic customer count growth and strong margin performance. Our Generation segment came in a little below expectations, largely due to a greater open position and lower realized prices from a weaker winter. However, with very strong performance in commercial availability rates at the plants of approximately 96% in this first quarter. We are reaffirming our previously announced guidance of adjusted EBITDA from ongoing operations of $2.81 billion to $3.31 billion and adjusted free cash flows before growth from ongoing operations of $2.07 billion to $2.57 billion. We retain the ranges as we are still early in the year, have the summer months ahead of us and at this point in time, we continue to carry a little more open position than in the past for risk management purposes. However, we reaffirm this guidance with increased confidence given the favorable energy commodities markets we continue to experience. In closing, Vistra is very well positioned, especially given the current market environment. Execution is key in 2022 and beyond, especially related to our hedging in forward years and managing adequate liquidity. Now before I turn it over to Jim, as you are likely all aware, this will be my last earnings call as CEO of Vistra. It has been my distinct honor and privilege to serve you all for nearly six years. I want to thank our many stakeholders for their support throughout my tenure. In particular, all of you who entrusted us with your hard-earned money. I know, I gave it my best to do business the right way and create value for our investors. I'm proud of all that we've accomplished and believe Vistra is well positioned to drive continued industry leadership. This is simply the right time for me to transition the CEO role to Jim. Jim has done everything to be prepared for this demanding job. After having worked with Jim for many years, I have the utmost confidence in his capabilities, commitment to Vistra and his leadership skills. He has a deep experience and knowledge of our business, including an understanding of how the disparate parts of the company work together. I am certain and our Board is certain that he is the right person to lead us through our next phase as we execute on our capital allocation plan, including substantial return of capital and expansion of our Vistra Zero portfolio. Finally, to the incredible team members at Vistra. I have never been more honored and proud to work with a group of people. Your life has shown brightly through thick and thin and I am grateful for the time we had together. I believe there is a tremendous opportunity ahead for Vistra as a leader in the power business and look forward to watching that come to fruition. With that, I will turn the call over to Jim.
Jim Burke: Thank you, Curt. I will get into additional details surrounding our first quarter's financial performance outlook and our strategy. But before I do so, I want to express my appreciation for all Curt has done to lead this company over the past six years. Curt has been a mentor and a friend to me. But more importantly, Curt has been a champion of Vistra and its many varied stakeholders. Vistra's accomplishments under Curt's leadership since he took the helm in 2016 for many. We grew our business by acquiring Dynegy, Crius and Ambit, moving from a Texas-only company to one operating in over 20 states, delivering over $850 million a year in annual value drivers while pivoting the company to being predominantly a natural gas-powered fleet serving over four million retail customers and well positioned for future growth with Vistra Zero. Curt Championed the integrated model and highlighted the benefits of our commercial capability that is tightly integrated with our generation and retail businesses and the importance of a strong balance sheet. He pioneered our ESG and DEI efforts despite the challenges we faced with Uri and the COVID pandemic. These accomplishments, among many others, resulted in a doubling in value for our shareholders while also providing a strong foundation for the future. I want to reassure you all on the call today that as CEO, I'm ready to build on what we have achieved and I intend to remain focused on our previously announced capital allocation plan with a commitment, as always, to delivering sustainable, long-term value for our shareholders and other stakeholders. I am grateful to Curt and committed to do my best to lead Vistra going forward alongside some of the finest, most dedicated colleagues in our industry. Turning now to Slide 8. Vistra delivered strong financial results during the quarter that were in line with our expectations with adjusted EBITDA from ongoing operations of approximately $547 million. We recognize the quarter-over-quarter comparison is not meaningful given the Uri impacts to last year's earnings. Retail ended the first quarter in 2022 at $163 million of adjusted EBITDA from ongoing operations and our collective generation segments ended the quarter with $384 million in adjusted EBITDA from ongoing operations. Despite the expected lower than historical contribution, we believe these first quarter results from ongoing operations positions us to achieve or exceed the midpoint of the EBITDA guidance previously announced. This quarter also continued the execution of our previously announced capital allocation plan. We repurchased approximately 18.6 million shares since our last reported share count as of February 22, 2022. As of May 3, 2022, we've repurchased approximately 54 million shares since the share buyback program was initiated, accounting for a total of approximately 10.5% of shares then outstanding. Approximately 431.8 million shares remain outstanding as of May 3, 2022 and $805 million remains available for additional share repurchases for the remainder of 2022. The Board has also approved a quarterly dividend to be paid on the common stock in the amount of $0.177 per share payable on June 30, 2022. This is approximately 18% growth in dividend per share as compared to the dividend paid in the second quarter of 2021. We continue to prioritize a strong balance sheet in the near term and are balancing the hedging opportunities to lock in value with ensuring sufficient liquidity for these dynamic markets. especially given that the hedging activity is locking in materially higher future earnings. We will continue to provide updates on the $1.5 billion debt repayment as the year progresses and as we capitalize on opportunities to lock in value and manage liquidity. Similarly, we are committed to our transformational growth and are actively exploring avenues to support the Vistra Zero portfolio with nonrecourse financing where we find those financing markets remain open and with satisfactory interest rates. We can't discuss our capital allocation plan in full without acknowledging the commodities and power pricing environment that we've been experiencing this past quarter. As reflected on Slide 9, this quarter saw dramatic increases in both the ERCOT and PJM weighted spark spreads for 2023. These trends have continued through April and into May. Given the favorable environment, we've continued our hedging strategy to lock in value in 2023 and beyond. As of March 31, 2022, we were 93% and 96% hedged in Texas and East segments, respectively, for 2022 and we were 60% and 67% hedged in those segments, respectively, for 2023. Turning now to Slide 10. This slide illustrates in more detail the phenomena we've all been observing, reflecting that power price forwards are up dramatically in correlation with the increase in the gas price forwards. This environment increases margins across our fleet in the money gas generation plants, coal, nuclear and renewables. In addition to locking in the revenue values, we have also been hedging coal, gas and nuclear fuel cost as a result of our comprehensive hedging strategy. Vistra is now over 50% hedged across the years 2023 to 2025. To provide a sense of magnitude, we have stated in the past that we expect to consistently earn above $3 billion of adjusted EBITDA from ongoing operations on a go-forward basis. Given the marks as of April 29, we now anticipate a risk-adjusted midpoint in the range of $3.5 billion to $3.7 billion for adjusted EBITDA from ongoing operations for the years 2023 through 2025. Again, we are just over 50% hedged, so there is still a significant range around this midpoint. However, the curves have continued to move up materially since April 29. So we believe that range of estimates to be on the conservative side. We are continuing to execute on our comprehensive hedging strategy to lock in as much of that value as possible. Notably, a comprehensive hedging strategy requires significant liquidity for collateral postings. We are actively managing our liquidity requirements in a way that allows us to remain confident at this time that we can execute our hedging strategy and the capital allocation plan in tandem. In closing, we continue to focus on execution in 2022, execution on the growth of our Vistra Zero portfolio, of our comprehensive hedging strategy and of our previously announced capital allocation plan. And we firmly believe in the value this execution will bring to our shareholders. We look forward to updating you on our achievements as we progress throughout the remainder of 2022. With that, operator, we are now ready to open the lines for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Shahriar Pourreza from Guggenheim Partners.
Shahriar Pourreza: So, maybe if we could start with earnings and the hedging outlook and sort of in light of the current commodity environment. It looks like you guys hedged into '23 fairly well here versus February. And obviously, we appreciate the high-level color on '24 and '25 in the slides. But can you give us any more detail on the amount of hedging you've done into the outer years of the curve, if at all? I mean, put differently, have you departed from -- your typical hedging profile here given the opportunities or fundamental view, I'm really thinking about your approach to 25 and '26 but I do obviously appreciate that the curves can get a little bit of liquid on the power side quickly so.
Curt Morgan: Yes. So look, I'll start with a couple of opening questions but Jim can then fill in with specifics and add his flavor to it. But look, I do think we've departed and we're going to depart. If anything, a message we deliver today is that we've got really one of the most rare opportunities in my career and I've been around a long time, to lock in significant value in the out years. The curves have moved up -- sorry, even out into 2030. The thing you have to balance, all of us do, even if you're investment grade, is margins and posting and having enough liquidity. And we feel very good that we will be able to do that. But this is a rare opportunity for us and this is a good news story. It's all about execution and we feel good about it. And then, of course, as these hedges realize, you got to run the assets. And the one thing that we've been very proud of through the years is just the incredible performance of our generating fleet to back up the hedges. So this is one of the best opportunities I've ever seen for a company like ours and we just need to capitalize on it. So philosophically, we are departing a bit and we are looking to hedge '24, '25, I suspect just given the way that the energy commodity price -- world markets are set up, we think this is going to be around a while and we'll roll hedges into '26, '27 and beyond because we believe that you're going to see a strong natural gas market for many years to come. So, it's a rare situation and one we have to step up and capitalize on. And Jim can tell you a little more about the specifics of what we've done in '24 or '25 because we have done some significant hedging which is rare for us because you know this, Shar. Generally, these curves are backward dated. And we are seeing pricing that is at or above our point of view. And we've told you that when we see prices at or above our point of view, we expect to hedge and we're not trying to pick the highs. We're just trying to lock value and then we just have to execute from that. Jim, do you want to add? You bet, Curt.
Jim Burke: Shar, the way Curt described it, it looks like a unique opportunity and we're taking advantage of it because we have typically seen tremendous backwardation. So we'll see prompt months and maybe a year show up but then the outer periods have not responded. I think on Slide 10, where you saw the curve moves, particularly gas driven but also the sparks that have driven considerably higher in the '23, '24 period, we decided to layer on more hedges. That's what gave us the confidence to talk about '23 to '25. As you know, we would normally talk about 2023 after the summer and we would generally and I cannot recall that we've ever spoken specifically with confidence two and three years out. But we're representing that in our materials today because we have hedged over 50% in total for that three year period a little bit more in the front in '23, a little bit less in '25. There's still a range around that and that's the important thing. And that range can go higher. It could also go lower. We recognize that. And that's why we talk about that range as a midpoint. So there's a chance for that number to go down. We would put this in the range of potentially $500 million, $600 million to the downside, possibly that to the upside and we think that's reasonable. And so giving you a sense of how much we've hedged and putting that out with all was important for investors because these opportunities, as Curt said, don't come around very often.
Curt Morgan: And Shar, look, we know you guys model. Everybody does. We want to give you some idea of this. But I think it's important to also note that I think the skews to the upside, especially given that commodity prices have moved up and that 3.5% to 3.7% range was a 4.29% [ph] vintage and we've seen a pretty big move up this week alone. And so we're just trying to give you an idea but the earnings power of this company for the next -- at least three years and beyond is significantly higher and it's just the realities of the situation. And like I said, it's our job now to manage that because it's not without risk. But that's what we do and we do it well. So that's -- this is a good news story but we need to execute.
Shahriar Pourreza: Got it. Got it. And as we think about sort of the potential for extra cash to come in the door versus your plans last fall, how does your, I guess, calculus shift at all? I mean at a high level, how would you maybe prioritize the incremental cash? Should we be thinking about returning to shareholders more delevering growth CapEx like Vistra Zero acceleration? And the reason why I'm asking this is, this is obviously in light of your view that the curves, the moves in the curves aren't really transitory, right?
Curt Morgan: Look, I think it really doesn't change much. I mean, we still like the value proposition of buying our shares. And so -- but this -- you know this, it's a function of where you're trading at in terms of your share price. But if you said, okay, what would you do if you have a pile more cash today? I think we'd say, we'd buy back our shares. But we also want to maintain a strong balance sheet for sure. And we want to pay a healthy dividend. And the buyback our shares has helped us pay a healthy dividend and increase that over time for those -- the shareholders of record. So, I'm not sure that we would change that much. We've said that we would prefer not to use the cash flow from the core business on Vistra Zero to allow Vistra Zero to raise its own capital because we could get cost of active capital there and we still have a high free cash flow yield. And so that may not be the best place to put it. So, I think it's the real three primary capital allocation buckets that we've always talked about and share repurchases would continue to be strong on that list. But again, that's a function of where you're trading at any given time.
Operator: The next question comes from Michael Sullivan with Wolfe Research.
Michael Sullivan: Good morning. Curt, congrats and all the best. And Jim, congrats to you as well and good luck here. Exciting times. Yes, maybe just wanted to start and just with a quick clarification. The $3.5 billion to $3.7 billion range you gave, is that true in each individual year? Or is that an average over the '23 to '25?
Curt Morgan: Jim, do you want to take that?
Jim Burke: Yes. So Michael, it is. First of all, it is a range that applies to all three years, okay? So we see all three years within that range. We didn't want to put out individual year guidance and individual year hedge percentages at this point because this is moving -- We've taken advantage of a lot of the hedging opportunities that the month of April provided us where we really started to see this move. But we're pretty flat over that three year period because we have a little bit more hedges on at the beginning when the move started in the near term and a little bit more open to the out even though they're still backwardation, the captured value ends up being pretty similar across that three year period.
Michael Sullivan: Okay. That's super helpful color. And then maybe just on the liquidity side, Jim, if you could give us an update there on some of the steps you're taking. I think there was a revolver update yesterday and just as things continue to evolve here? And it sounds like you expect things to get increasingly more volatile. Just how you're thinking about that and what are some of the steps you can take to manage that liquidity? Just more color there would be helpful.
Jim Burke: You bet. Yes. And Curt emphasized liquidity in his remarks and it is front and center for us being able to capture this opportunity and make sure that as we continue to hedge because we'd like to do that, we'd like to continue to put more hedges on at these levels that we have adequate liquidity. So you saw us increase the commodity-linked revolver so that we have $2.1 billion of available liquidity as of yesterday. That is very helpful in managing the hedge levels that we already have put on. We also are looking to do some additional raise and work with other counter-parties in a more credit efficient way which we can do with some of our first lien opportunities to hedge with parties and we do that already but we expect to increase that level of activity. And so our view is that did now is the time to make sure we have ample liquidity because we want to not only hedge more, we want to be able to withstand any further moves because the goal here is all this liquidity comes back to us, right? It all comes back as we operate and deliver the power through the various calendar years. And so it's relatively cost effective for us to load up on even additional liquidity to make sure we can hedge more because we know that this cash does return and just make sure that we have the line of sight and continue to bring the range of outcomes in the out years even tighter. And I think, as Curt noted, I think the midpoint of this range is skewed to the upside. I think the midpoint can continue to move up and we can give you that confidence as we continue to put more hedges on. But we've had great access to liquidity. All of our partners that have worked with us have been very helpful because they understand this is the right-way risk as these hedges continue to be put on and we have to post more. They know the franchise value of the enterprise is continuing to grow. That's a great place to be and this is going to be something that we'll continue to actively manage.
Curt Morgan: Michael, if I can just add something too. The nice thing about adding this liquidity is that we can keep it outstanding and keep this on our balance sheet as long as it's necessary. So if we continue in a high-priced volatile market, we can continue to extend this liquidity and lock in value. And the annual cost of that liquidity relative to the value locked in, as Jim just said, it is very low; so it's a compelling value proposition. If we were to come back to a more recent historical normal level of commodity prices which I'm not sure will happen. But let's just say that we did. We can always then reoptimize the balance sheet and shrink the amount of liquidity that we have to the volatility in the marketplace at that given time; so we can flex it. And because it's right-way risk and also because we tandem hedge all the risks, not just the commodity risk but also basis and fuel, we have a high -- and we can perform very -- at a high level with our generation. We have a high confidence of achieving the cash flow levels that the hedges bring to us which obviously satisfied the cost of the added liquidity. So -- and this is -- right now and this works for us. Liquidity is very important to us; we have access to it and it allows us to go out and lock that significant value in for years to come and that's a rare opportunity for companies to have.
Operator: The next question comes from Julien Dumoulin-Smith with Bank of America.
Julien Dumoulin-Smith: And congratulations to both of you but very well-earned retirement here. Leaving on a high note, as we say. I suppose just coming back to this quasi guidance, if you will. Just to reconcile that $1 billion number you threw out in the comments versus the $3.6 billion midpoint that you just talked about a second ago. Just the $1 billion, that was relative to what? Just to make sure I understood that appropriately.
Curt Morgan: You mean when I say was $1 billion of value that we were adding, you're talking about what I said in my remarks?
Julien Dumoulin-Smith: Yes.
Curt Morgan: Jim, you can answer that because you know it, too. So go ahead.
Jim Burke: Yes, yes. Sure. Julien, that was in the remarks we said through 2025, nearly $1 billion. That was a cumulative minimum value increase from '23, '24, '25 of $1 billion. So think about that as $333 million a year minimum, so that gets to our $3.5 billion to $3.7 billion which is higher than where anyone was really thinking we were ahead of this commodity moves where they -- we said we're a $3-plus billion business. Some would say you're a $3.2 billion, $3.3 billion kind of business. So we're taking that delta and saying assume $300-plus million a year, that gets you to this midpoint of the range we're talking about for three years is $1 billion.
Curt Morgan: And Jim, can I add that we debated on this one, Julien, because if you take the $3 billion plus that we always say, that number is close to $2 billion. If you take sort of the $3.3 billion that we sort of, I guess, gave a wink and a nod to for 2023 previously, then that number is closer to a little over $1 billion. So the reality is it's a significant amount above -- depending on what you want to use as your baseline. And we looked at consensus, too. And that number is -- no matter how you slice it, it was at least over $1 billion. And so that's why we felt comfortable saying that. And those two, we tried to reconcile those, what Jim said, the $3.5 billion and $3.7 billion and what I said. But no matter how you slice it, it's $1 billion or more. And you can argue with the $3 billion-plus number, it's closer to $2 billion.
Julien Dumoulin-Smith: Yes. No, no, no, indeed. Both numbers are conservative. I got you. I hear you. Well, listen, I mean, just to keep that focus going on the commodity front, what are you seeing with your coal counter-parties and your logistics counter-parties here? I mean, are the PRB suppliers finally ramping up? And to that end, how have you made arrangements and what are you seeing with logistics? And ultimately, what's priced into that $3.6 billion, for instance, on delivered PRB and your lignite, etcetera?
Curt Morgan: Jim, you can talk. Yes, go ahead, Jim.
Jim Burke: Julien, I'll start and Curt, thank you for that. We have factored in that even in 2022, it has been tough for some of the PRB suppliers to fully ramp up. As you would expect, as gas continues to move up, everyone is trying to get more coal and that's logical but it is difficult for some of these coal supply chains to respond. And some of it is simply hiring and having enough people to actually operate the equipment and some of it is weather driven. There's been storms that have actually disrupted some supplies. We factored that into how we think about 2022 and we have factored in the ranges we just gave you. So we are not assuming perfect execution on the coal supply chain. We do think, over time, this will get resolved either because there will be a more fulsome response to the supply chain maybe even outside of the 2022 timeframe before that happens, or gas may actually, at some point, dissipate and not put quite as much strain on the system. But it has been a challenge more on the PRB and the train set as so with the barge coal that we have access to for our Ohio plants but that is something we took into consideration when we provided these numbers. Go ahead, Curt.
Curt Morgan: Well, I'll add to this, Julien, is that we have good relationships with the BN also with KCS. And then down with Coleto Creek, it's UP. And we have good relationships. We have long-term historical relationships. And I think we're going to continue to work and I am and so is Jim with the leadership of those companies to try to help us through this, especially given that we got a summer coming up in Texas. We want to make sure we have adequate access to coal. But it is -- they're struggling like everybody else on the supply chain side and having enough labor. I can't remember the number, Jim but it's like six to nine months to train new people on the railroad. So it takes a long time to get new people -- fresh people in and get them trained. So this is an issue. The good news is we've been conserving where we can. We're going into the summer with a decent pile. We'd like to have more and we'd like to see the train sets get picked up. I think we'll be able to work that out and this is something you just have to work together with the railroads on.
Julien Dumoulin-Smith: Got it. Okay. But you're pricing in kind of current strip pricing or...
Curt Morgan: Yes.
Operator: The next question comes from Jonathan Arnold with Vertical Research Partners.
Jonathan Arnold: And congratulations to you both. Just a quick one on given this big shift in the market, does it change any of your thoughts around planned retirements that you have scheduled -- just curious there.
Curt Morgan: So some of our retirements are already scheduled because they are part of agreements that we have I'd say there are some that are not. And certainly, we're going to look at the whole suite of things that we look at when we decide whether we retire a plant. But I think the other thing we have to balance is markets are tight and we're part of the reliability of markets and also the affordability of our product as well as emissions. And so I could see a situation where maybe we would extend some of the coal plants. But we've also agreed to shut those down as part of the coal combustion residual rule at EPA. And so a lot to take into account. But could we say maybe go from '25 to '26 for something? We might. And I think we just have to consider what does the market look like, what's the need of the power plant. And it's not a foregone conclusion that all these are economic even with these prices. Having said that, we're economic people but we're also about trying to help with reliability in the markets that we serve and keeping prices affordable. So we'll have to balance all that and see what that brings us. We haven't made any definitive decisions on any of those other coal plants other than the ones that we have committed to retiring as part of some sort of a commitment.
Jonathan Arnold: Okay. I mean you've not assumed anything like that in this outlook, I imagine?
Curt Morgan: That's right. That's correct. We have not.
Jonathan Arnold: Okay. And then could I just -- just a couple of things on liquidity. Could you maybe update for us just what the current numbers are relative to the ones you put in the release for the end of March, given the April moves? I think you said you now have two available rather than one but I want to make sure net of moves in commodity but I just want to make sure we got that.
Curt Morgan: Jim will take that.
Jim Burke: Yes, we had $3.1 billion available as of the end of March. We now have $2.1 billion available and we added $1 billion to the commodity rate revolving facility for capacity because of the moves, particularly in April. And we wanted to take advantage of hedging more in the month of April. So we increased our capacity some but we still have the ability -- we still have the $2.1 billion available to us after all postings that we've made to date.
Jonathan Arnold: Okay. And the implication of your prior comments is that you feel confident you could flex more if you needed to?
Curt Morgan: Correct. That's correct.
Jonathan Arnold: And just a different kind of liquidity question. But as you out in the out years, in the past, it's been challenging to find liquidity in power. But maybe gas has been more liquid. Can any -- can you give us any sense of is that changing? Or how are you -- what's the nature of the hedges you're able to put on that far out?
Jim Burke: It has been changing, Jonathan. I think both the sell side as well as the buy side has -- see this as either opportunity or potentially risk if they don't buy long term. So we've been able to hedge both gas and power out through '25 with fairly deep markets compared to what we've seen historically. And I think that is something that has occurred as people are thinking this is not temporary. We've generally seen, as we talked earlier, things move up in the very short run and then you see some assumed corrections. But you don't even see that with the NYMEX curve now for the next 10 years. So I think folks are seeing that the complex is moving up. They see difficulty in supply chains. They see difficulties with some of the environmental restrictions that are happening. So I think folks are concerned about where this whole commodity complex could go. So there has been folks on the other side willing to make longer-dated purchases that we haven't seen the same depth in prior markets.
Operator: The next question comes from Durgesh Chopra from Evercore.
Durgesh Chopra: Maybe just Curt and/or Jim, maybe can you talk to the first quarter 2022 EBITDA? I appreciate sort of the profiling has changed post Uri. But just maybe a little bit color there. And then when you talk about margin opportunity or greater margin opportunity rest of the year, I get, I mean, obviously, there's upside from the commodity standpoint or open positions. But is there something on the retail side in terms of profiling or expenses that we're missing? So any color there is appreciated.
Jim Burke: Sure. Yes, Durgesh, what ended up happening post Uri is the first quarter cost structure shifted up remarkably as people started to conclude that the winter has potentially even if not more volatility built into it than the summer. ERCOT, as you know, has always been a summer focus. People have always talked about peak capacity and peak demand in the summer. Uri shifted that. And now we saw the first quarter part of the curve move up considerably. Retail has to buy that but they generally flat price their customers. We don't have a lot of indexed-based structures with particularly residential customers. So when we flat price, it basically means that the margins get squeezed considerably still positive but definitely lower in the first quarter than historical patterns. What that means is it really opens up the margins in 2Q and 4Q relative to what we have seen in the past. So when Curt was alluding to we have greater earnings power in the back part of the year, that's not assuming anything with the open position. That's just simply if you were to model retail margins on a monthly basis, you would have historically seen a better first quarter margin than we're seeing at the moment because of the shape of the 12-month curve.
Durgesh Chopra: Got it. Okay. So just to be clear, it's the retail margins that we're talking about, the profiling of the retail margins Q1 and then rest of the year, right? I mean we're expecting to pick up.
Jim Burke: That's correct. Yes.
Curt Morgan: I mean if I can add, though, I mean, look, the prices have moved up, too, though, on the wholesale side. But what we were talking about specifically about what we were seeing and we actually had factored in into our guidance was what Jim talked about which was that shift in retail margins. And we don't -- you know that guys, this is a little bit disappointing is that we don't give quarterly guidance. And unfortunately, there is a consensus out there which is generally built on kind of an assumption of the percentage of EBITDA of the annual and the reality of the situation is that does move at times. And we tandem hedge. When we sell retail, we tandem hedge with wholesale. And we knew this -- this was in our guidance number all along. And we knew that we were going to be a little skinnier on the first quarter but higher in the second and the fourth. Now we've also seen them move up a little bit on the third because of wholesale pricing. We'll see if that comes to fruition. But that's just how things work and we just want to be clear that we understood this phenomenon. And we don't -- we're not seeing it in the outer years, either. We think things will probably, at least over time, move back to more of a traditional split or shape of earnings. But it just happened in '22 just given the way that traded relative to the -- when we locked in retail.
Durgesh Chopra: Got it. That's super helpful color. Just one quick one for me. On the topic of share repurchases, the latest guidance you have for '23 and beyond is, I believe, at least $1 billion a year and right? And we're looking at sizable EBITDA cash flow upside, Curt, that you alluded to in your commentary and the EBITDA estimates going forward. When should we expect sort of an update on the use of that excess cash that now you're seeing over 2023 and beyond? Is that sometime later this year? When should we expect an update on that in the use of the cash proceeds?
Curt Morgan: Yes. Well, Jim, I don't want to -- because I'm not going to be here after obvious one but I would expect that just the way we've normally done is later this year, after we get through the summer and also, we've done some more hedging, my guess is we'll talk about at least about '23. And we'll see about '24 and '25.
Jim Burke: No, I was going to say, Curt, I agree with that completely. I think we need to get through the summer. Let's look at the additional hedges that we anticipate putting on at these kind of levels. And obviously, we won't hedge all the way up but we still think there's value to capture here. So we'll again, emphasis on liquidity. All this money will come back to us eventually but we do want to preserve long-term value and take advantage. So I think it would be prudent for us to talk about that in the fall when we give the guidance for next year. That will be a good time for us to update our cash flow and our capital allocation assumptions for '23.
Operator: And the last question today will come from James Thalacker from BMO Capital.
James Thalacker: Congratulations, Curt, It's really been a pleasure. Just had two real quick questions. Just following up on Julien's coal question. I know you said your outlook reflects basically the current curves on coal pricing. But is that coal pricing based on an FOB basis? I know that the rails are also having some labor issues also on deliveries and that could be impacting upward pressure on transport costs. So just wondering what you guys are seeing there.
Curt Morgan: Go ahead, Jim.
Jim Burke: Yes. I was going to say, we have some long-dated transportation arrangements for our key facilities, James. So our issue has been less rail transport cost. It has been simply about quantity as it relates to PRB, getting all the quantity that our plants could consume in the higher kind of power price and natural gas price worlds. So we have been less exposed to the cost of transport. It's been for us a little bit more on the quantity side.
James Thalacker: Okay, great. That's helpful. And just sticking along that same line. Do you think that some of the recent move in power could also be a reflection of gas plants being dispatched out of merit to preserve some of these coal stockpiles? Some of the more regulated [indiscernible] we've talked to are down to like 20, 25 days as we move into summer. Just wondering if that could be contributing to the [indiscernible] and the moves recently.
Curt Morgan: Absolutely. In fact, I'm certain of it, that, that is affecting it because some people are -- they're holding on in the shoulder periods where the margin isn't that great on coal, they're backing off. Gas is having to come on at setting price. So yes, that interplay between gas and coal is going to continue until the coal can solve the issue. But yes, that definitely is having an impact on price.
James Thalacker: Okay, great. And then just the last question and this is kind of -- I apologize for being greedy and I know that we're only a week after the -- when you guys priced your upside of $1 billion through 2025. But obviously, prices have continued to kind of move up. Are you -- going back to that previous question, Curt and Jim, do you think that pricing will kind of hold in this level and that you feel good about kind of being able to lock in, let's say, $300 million across to 2025? Or do you think that we're kind of at a peak here and we should really be sort of baking in any incremental upside from here?
Curt Morgan: Well, how we handle it? Well, I'll just keep in mind, Jim, I'd like to hear what you have to say. I'll pull out my crystal ball here. Look, I think here's what I would say about it. We would like to continue to hedge. And 70% to 80% would feel pretty good to us in those out-years right now, the ones that we've talked about. But the one thing we're just going to make sure, James, is that we also have the liquidity to go along with it. So, we're just -- we're being prudent about it. But I would also say that whether it's going to stay at this level or go a little bit higher in the near term, things seem to be a fair amount of fear in the market around gas right now. How long that lasts, I don't know. But I do believe that we're going to stay at pretty strong levels on gas and power for a while and we'll pick our shocks. But look, we see a real opportunity here. We have a sense of urgency as a company. This -- you don't get this opportunity very often and so you can be rest assured that we're working urgently to lock in value at these kind of levels. And so I wouldn't be surprised to see us having increased our hedging between now and the next quarter when we talk to you again. I mean I just think that -- and we're not going to worry about whether it's at the peak or not. We just -- what we really care about is it a fundamentally good value for the company. Jim, you want to add to that?
Jim Burke: Yes. Curt, I agree completely. And I would just add that if prices stay where they are and we continue to increase our hedge percentage, then we would see this range move up from where it is. That's what we meant by we were being conservative because we made this range off of the April 29 curve, James. And as you noted, they've moved up. So, if they stay where they are and we can continue to hedge into that, I would expect that you'd see this midpoint of this range move up.
James Thalacker: Okay, great. Yes. Sorry about the greedy question but I was just curious because it seems the biggest delimiter that you guys probably have, to your point, is really just maintaining adequate liquidity as well as probably just sourcing liquidity in the markets, especially as we probably get out past '24, '25, '26, I would think that it probably gets a little bit more thin out there and so you might have to take some discount to sort of get those hedges on.
Curt Morgan: Yes.
Jim Burke: We might see thing. But as Curt said, we're not trying to get every last nickel here. So there's plenty of room for us to lock this in and move the midpoints up. And as you said, liquidity is a key area of focus. We feel good about it but we're going to keep actively working that so that we could capture this opportunity. Sorry to pick, Curt.
Curt Morgan: No, no, that's it. I think that's right.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Curt Morgan for any closing remarks.
Curt Morgan: Thanks again. It looks like we ran over time. Sorry about that. Great working with everybody. I'm hoping that I get to see people between now and August 1 and now that we're also getting to see each other. But enjoyed it and look forward to. You're in good hands with Jim and the company is in good shape as ever. So we're excited about the future. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.